Company Representatives: Brendan Hoffman - Chief Executive Officer David Stefko - Chief Financial Officer Amy Levy - Vice President, Investor Relations
Operator: Ladies and gentlemen, thank you for standing by and welcome to Vince Q1 2020, Preliminary Results Conference Call. At this time all participants are in a listen-only mode. After the speaker presentation there will be a question-and-answer session. [Operator Instructions]. I would now like to hand the conference over to Amy Levy, Vice President, Investor Relations. Thank you. Please go ahead.
Amy Levy: Thank you and good afternoon everyone. Welcome to Vince Holding Corp’s first quarter fiscal 2020 preliminary results conference call. Hosting the call today are, Brendan Hoffman, Chief Executive Officer; and David Stefko, Chief Financial Officer.  Before we begin, let me remind you that certain statements made on this call may constitute forward-looking statements, which are subject to risks and uncertainties that could cause actual results to differ from those that the company expect. Those risks and uncertainties are described in today’s press release and in the company’s SEC filings which are available on the company’s website. Investors should not assume that statements made during the call will remain operative at a later time, and the company undertakes no obligation to update any information discussed on the call. The preliminary results discussed on today’s call are subject to change following the completion of quarterly financial closing procedures, and do not include the non-cash impact of goodwill and intangible asset impairment charges, long-lived asset or other finite-lived intangible asset impairment charges, which are expected to have a material impact on the company’s reported results.  After the prepared remarks, management will be available to take your questions for as long as time permits. Now, I’ll turn the call over to Brendan.
Brendan Hoffman: Thank you, Amy. Thanks for joining us today. I hope that everyone and their families remain healthy and safe. The world has changed dramatically over the last several months with the outbreak of the COVID-19 pandemic and the protests against racial inequality across our country. This is certainly a pivotal time in our history and we hope for a meaningful path to recovery and equality.  Turning to our business, while we were pleased with the continued momentum in February, at the onset of the pandemic and subsequent temporary store closures, we had to respond quickly to the downturn in our business. I am extremely grateful to our teams for their hard work and commitment as we continue to operate our business through the COVID-19 health crisis. They have demonstrated resiliency, agility, and creativity when executing under pressure and with limited resources.  While our priorities have been shifted towards actions necessary to manage our brands through the difficult environment, I am no less excited about the long term opportunities for our business. The Vince brand has been steadily gaining market share over the last three years, illustrating its strong and growing following, and we're still in the early innings of our growth strategy.  The brand has distinct aesthetic of effortless luxury and provides comfortable essentials that align perfectly with a stay-at-home lifestyle. The versatility and effortless appeal plays well into the widely publicized trend towards comfort.  Rebecca Taylor has its own modern luxury aesthetic, where we see white space opportunity in the contemporary fashion landscape. We have become even more confident that we can create the success we've achieved at Vince, by executing a similar strategic playbook.  While we look forward to fully resuming our strategies for these brands, our near-term priorities have been focused on reducing costs and enhancing liquidity. We reduced costs primarily through furloughs and temporary salary reductions, and we began negotiations with our vendors and landlords regarding payment terms. We also amended both our revolving credit facility and term loan agreements, which temporarily increased availability under the revolver’s borrowing base and deferred principal payments on our term loan. We were also able to relax covenants for both. Dave will provide more detail on our cost reduction and liquidity measures.  In addition, Sun Capital our controlling shareholder committed up to $8 million, if needed, over the next 12 months. We remain appreciative of their ongoing support. We also redirected efforts toward Vince’s e-commerce channel, which represented nearly 30% of our direct-to-consumer business in 2019 to serve and engage with our customers. We remained active in email, Instagram, and social media providing content relevant to the current environment that's fueling demand.  Our marketing focused on continued customer engagement online. We shifted our tone across channels to speak to our community with a sense of awareness and concern, and where possible to offer inspiration. The response has been enormously positive.  After donating over 30,000 masks made in our partner factory to aid healthcare workers in COVID-19 relief, partnering directly with the hardest hit New York City and Los Angeles hospitals, with the help of Million Mask Challenge, the announcement on Instagram received thousands of likes, one of our highest engagements posted to-date.  We were able to build on that momentum, partnering with our community of vendors and creators to donate items for the Vince Auction for Relief, raising more than $15,000 for Meals on Wheels and God's Love We Deliver.  We’ve also taken this opportunity to build our brand identity through our community and interests. Our community of creators and influencers are sharing their personal stories while sheltering in place offering recipes, their favorite fitness activities, books, wellness rituals, gardening advice, and glimpses into how they are wearing Vince at home. These efforts helped to accelerate e-commerce growth for the first quarter from the increase we generated in fiscal 2019.  At our wholesale partners, the online business for Vince was similarly robust. Demand at Nordstrom.com was so strong and they did such a great job unlocking their store inventory to fulfill orders that they ended their first quarter virtually flat to the prior year and out the door omni-channel sale of Vince.  In addition to driving revenue we were able to monetize a healthy portion of our online inventory. We did this at heightened promotional levels to ensure we were in a healthy inventory position in terms of both level and quality as we head into the fall season. While we expect the near term environment to remain promotional, we remain committed to positioning Vince as a full-priced brand and we'll work our way back to telling our message around newness in lifestyle, starting in the back half of the year.  At Rebecca Taylor, the integration process is under way. With the leaner staff, the Vince team has stepped into work with the existing team, which we believe will accelerate our path to success. Our strategic plan, which will follow a similar roadmap to that of Vince is in progress, and we continue to see excellent new growth opportunities given the strong brand recognition and the opportunity within the contemporary market that we anticipate post-COVID.  Steven Cateron, who joined us in January as Creative Director for our acquired brands has already begun to put his mark on the Rebecca Taylor brand aesthetic, as we develop our path forward.  Notably, we are excited to see the enthusiasm from our wholesale partners who recognize the brand equity of Rebecca Taylor, who could potentially fill a white space in the contemporary floor, and the knowledge of what we have been able to accomplish at Vince. While 2019 represented a challenging year for Rebecca Taylor, we remain confident that by instituting the Vince Playbook, we can rejuvenate this brand in a similar fashion.  Turning to Parker, while the integration plans have started, we have made the decision to pause the creation of new product for the business in order to preserve cash and narrow our focus as we navigate through the pandemic. We continue to believe that the brand complements our portfolio, but given the current environment, we decided that we need to narrow the focus of our resources.  As we look forward, we are beginning to resume some of our brand strategies for Vince by leveraging our talented team, operational capabilities, and infrastructure. We are embracing the work-from-home culture, which we are finding highly efficient and productive. That said, this will not fully replace the physical group setting that I believe is a critical part of the creative process.  E-commerce continues to perform well with higher traffic and conversion. As we further develop our omni-channel capabilities, we see continued outsized growth from this channel. Although retail landscape is changing, stores remain an important part of our longer-term strategy under the proper structure and is a complement to our digital focus. We are taking a disciplined approach to reopening stores with 10 opened as of today; three in Texas, one in Atlanta, one in Arizona, and five in Florida. We have additional stores planned to open later this week. As we reopen, we are following all state and local guidelines to ensure we do this in a safe and productive way. While still early, performance has exceeded our expectations. As part of our retail expansion plans, we are leveraging the market disruption by working with landlords to identify opportunities to obtain additional short term, low CapEx leases with beneficial terms from both our Vince and Rebecca Taylor brands, especially as it allows us to get concessions to manage through the shut down and recovery period.  In the wholesale business, while we expect to continue to drive growth through current partners, we're also looking to selectively broaden our brand footprint. Given the success we've had in regaining the market leadership position, building our way to premium positioning and extended floor space and partner doors, we are seeing increased demand for the Vince brand and will consider potential opportunities to further expand our wholesale presence.  Our holiday market where we showcase our collection to wholesale customers took place virtually last week. The team did a remarkable job preparing a video to elegantly showcase the collections. The show was a success and the buyers were extremely complimentary of both, the collections and our ability to bring them to life through the video presentation. This is a great example of the talent, creativity and agility of our teams, even while working from home.  Our subscription business, Vince UNFOLD, while impacted by the health crisis, held up better than expected and delivered substantial growth from the year-over-year basis. We have a great partnership with CaaStle and I continue to believe the subscription business will be a part of the future industry landscape. We plan to extend this to our men's business when the time is right and remain excited about the potential.  We have continued to skew our marketing investments towards digital through email, Instagram and social media and are pleased to see an uptick and return on spend. Our email campaigns are driving the strongest engagement and as our list grows, we will increasingly leverage segmentation strategies to tailor messaging to customers based on purchasing behavior.  As we look at our international business, in China we continue to review our options, including e-commerce in stores. We will monitor the environment and our business to determine the right time to resume our expansion plans in this region.  In Europe prior to COVID, we were pleased with the performance of our first London store. We will monitor the environment and evaluate timing on resuming our expansion plans in Europe, as well as explore other countries where we’ve had strong interest in opening stores to leverage the Vince brand either directly or through partnerships.  Capital expenditure projects, including our new point POS system and CRM initiatives will remain on hold for the time being. Our focus has continued on the integration of Rebecca Taylor and Parker, as well as on the merging our Vince Warehouses to provide a fully integrated omni-channel experience. As we get further into bring stores online, we will evaluate and restart expansion of our retail footprint.  While we recognize that the recovery will take time, we are taking actions that we believe will enable us to emerge from this health crisis and resume our growth strategies with a disciplined and methodical approach. We believe that we are strategically well positioned within the contemporary landscape to gain further market share given the momentum of our Vince brand, our brand ecstatic and the resilience of our customer base. We will continue to leverage the strength of the Vince team to drive forward to reset of Rebecca Taylor and longer term Parker. We look forward to providing further updates as the situation evolves.  Now, I will turn it over to Dave, to further review our financial results. Dave.
David Stefko: Thank you, Brendan. I want to reiterate my confidence in our long term potential based on our strong portfolio of well positioned brands, talented teams, sold infrastructure and multiple growth opportunities that lie ahead.  The first quarter started off strong; however, our business became challenged as the outbreak of COVID led to temporary store closures of our domestic and international retail locations alongside other retailers, including our wholesale partners. We shifted our focus to our e-commerce business and moved quickly to take aggressive steps intended to protect our business through this crisis, which I will speak to.  For our preliminary first quarter results, please note these results are subject to change upon completion of our quarterly financial closing procedures and do not include the non-cash impact of goodwill and intangible asset impairment charges, long-lived asset or other finite-lived intangible asset impairment charges, which are expected to have a material impact on our reported results.  Also note that we plan to file our first quarter 10-Q at the end of July and our finalized financial results will also reflect a benefit of $2.3 million from the re-measurement of the liability related to the company's tax receivable agreement.  For the first quarter, total company net sales decreased 47.3% to $39 million compared to $74 million in the first quarter of fiscal 2019. This reflects the closure of all Vince and Rebecca Taylor stores as of March 17, partially offset by an approximately 30% increase in our Vince e-commerce business.  For the Vince brand, first quarter consolidated net sales decreased 47.7% to $28.8 million, compared to $55.1 million in the same prior year period. Our Vince direct-to-consumer segment sales decreased 34.9% to $18.1 million in the first quarter, reflecting the previously mentioned store closures, partially offset by the strong growth in our e-commerce business. Our Vince wholesales channel sales decreased 60.8% to $10.7 million as a result of the delay and cancellation of order receipts due to the closure of wholesale partner doors.  Similar to performance in our direct business, online sales of Vince products on our partner e-commerce sites were strong in the first quarter. The accelerated performance on both, our branded websites, as well as the e-commerce sites of our wholesale partners illustrates the continued strength of the Vince brand.  Rebecca Taylor and Parker combined net sales decreased 45.8% to $10.2 million as compared to the same period last year. As Brendan mentioned, we have a positive development of new products for our Parker business for now, to focus resources on the operations in our Vince and Rebecca Taylor brands post to COVID crisis.  Gross profit in the first quarter was $16 million or 41% of net sales. This compares to $37.9 million or 51.2% of net sales in the first quarter last year. The decrease in gross margin rate was primarily due to year-over-year adjustments to the inventory reserves, increased promotional activity and deleveraging of supply chain costs, partially offset by lower sales allowances and a channel mix shift at the Vince brand.  Selling, general and administrative expenses in the quarter were $37.9 million or 97.2% of net sales, as compared to $44.1 million or 59.6% net sales for the first quarter of last year.  As Brendan stated, the onset of the COVID pandemic – I'm sorry, with the onset of the COVID pandemic, we took a number of responsible actions to reduce costs, including furloughs and temporary salary reductions and tightening expenses to a near zero based variable spend.  As a result, we decreased SG&A dollars of $6.2 million primarily through lower payroll and compensation expense, as well as reduce spending on marketing, travel, product development and freight. This was partially offset by an increase in bad debt expense, largely related to the impact of COVID-19 on Neiman Marcus, as well as specialty retailers.  Over the past few months, in addition to managing costs and liquidity, we have been laser focused on the integration of Rebecca Taylor and Parker as this integration will create both immediate and sustainable cost efficiencies and benefits. I am happy to report that we are ahead of schedule on this process.  Early in the first quarter we completed work with a strategic consulting partner to help identify and measure integration synergies and cost savings opportunities, as well as to develop the strategic plan for these brands. The consulting firm worked closely with key members of the Vince brand team across multiple areas, including merchandising sales, e-commerce, marketing and distribution.  The associated consulting fees did not have a meaningful impact to the change in SG&A expense in the first quarter, as we incurred a similar amount of consulting fees in the same period last year.  Efforts in the prior year related to formulating our long term strategic growth plan, including geographic and product expansion opportunities and point-of-sale and CRM strategies for Vince, as well as exploring acquisition opportunities. Many of these strategic initiatives were in the process of being executed prior to the COVID-19 pandemic and have since then postponed. We look forward to reinstituting these growth initiatives at the appropriate time.  Operating loss for the first quarter was $21.9 million compared to a loss of $6.2 million in the same period last year. As I stated earlier, the loss from operations does not include the non-cash impact of goodwill and intangible asset impairment charges, long-lived asset or other finite-lived intangible asset impairment charges.  Moving to the balance sheet, cash and cash equivalents were $26.6 million as of May 2, which compares to $1 million for the same period last year. This increase reflects borrowings on our revolving credit facility that we drew down to protect our liquidity in response to COVID-19. We typically carry minimal cash in our balance sheet and used all excess cash to pay down our revolving credit facility.  However, we believed it was prudent to increase the level of cash on our balance sheet as we managed our business through the health crisis. As a result of the drawdown on our revolving credit facility, borrowings under our debt agreements totaled $88.4 million, reflecting an increase of $25.8 million since the same period last year.  Subsequent to the first quarter, upon the execution of the third amendment to our revolving credit facility which I will discuss shortly, we paid down this revolver and as of the date of the amendment, we had $25.8 million available on our revolving credit facility.  Moving to inventory, as of May 2 net inventory was $68.1 million compared to $66 million at the end of the first quarter last year. At the onset of COVID-19, we took immediate steps to cancel future orders for products in response to the closing of stores and the cancellation of orders from our wholesale partners.  During the second quarter we will receive shipments of products that we were unable to cancel. A portion of this inventory consists of transitional product that will be incorporated into our fall collections, while limited levels of our more light weight seasonal product can be held for next year as it will still be both relevant and new to our customers. That's said, we will take steps to move through the remainder of this inventory in order to keep us in a fresh position. This is expected to create pressure on our gross margin in the second quarter.  Capital expenditure for the first quarter totaled approximately $300,000, reflecting expenditures in process prior to the COVID outbreak. We paused the majority of our capital expenditure plans for 2020, excluding the investment related to the integration of Rebecca Taylor and Parker previously discussed, as well as investments related to omni-channel initiatives to the Vince brand, as this is key to enhancing our customer experience and increasing the productivity of or inventory.  Since the end of the first quarter, we have taken additional steps to manage our liquidity and maintain financial flexibility. We have been working with our suppliers on extending payment terms, on managing inventory flow, and on enhancing the agility of our supply chain as we emerge and evolve within the changing retail environment. In addition, we are in negotiation with our landlords on occupancy relief to match the expected retail recovery timeline and are pleased with the progress we have made to-date.  As I mentioned earlier, on June 8 of this year we entered into a third amendment to our existing revolving credit facility and to our existing term loan credit facility. The third revolver amendment among others temporarily increased availability under the facility’s borrowing base by increasing the aggregate commitments to $110 million from $100 million through November 30, 2020 and revised certain eligibility criteria trade receivables to be included in the borrowing base during that period, as well as waived certain events of default.  The amendments also temporarily suspended the requirement to maintain a specified consolidated fixed charge coverage ratio through the delivery of a compliance certificate relating to the fiscal quarter ending July 31, 2021, and replaced it with a springing under which the obligation to maintain a specified consolidated fixed charge coverage ratio of one-to-one is triggered only when the excess availability on the revolving credit facility falls below $50 million or for the period between September 6, 2020 and January 9, 2021, $10 million or for the period between January 10, 2021 and January 31, 2021, $12.5 million, with the ability to cure any default thereunder, by including any amount provided by equity or subordinate debt in the access availability.  In addition as Brendan mentioned, affiliates of Sun Capital partners who currently own approximately 72% of the company's outstanding shares of common stock have committed through June 15, 2021, to provide financial support of up to $8 million if needed. As stated in our press release published this afternoon, due to the uncertainty related to the impact of COVID-19, we will not be providing guidance at the time. While the world is changing drastically week-by-week, we continue to assess the evolving situation as lockdown restrictions are lifted. We will provide an update on guidance in future quarters as we begin to get more clarity on the situation.  Although there is currently a lot of uncertainty surrounding the retail environment, we remain confident that our portfolio brands are well positioned to deliver strong long-term sustainable growth for our shareholders.  To repeat Brendon’s closing comments, we believe that we're strategically well positioned within the contemporary landscape to gain further market share given the momentum in our Vince brand and our brand aesthetic and the resilience of our customer base. We will continue to leverage the strength of the Vince team to drive forward the reset of Rebecca Taylor and longer term Parker.  This concludes my comments regarding our first quarter. We'll now take your questions. Operator.
Operator: Certainly. [Operator Instructions] Our first question is from Dana Telsey with Telsey Advisory Group. Your line is open. 
Dana Telsey: Good afternoon everyone. I'm glad to hear that everyone is safe and healthy. Brendan, as you think of the game plan for Vince that led to the successful transformation of the business model, and now obviously given COVID-19, it almost seems like you reinvent again. How do you think – you mentioned the wholesale landscape. How do you think of going beyond Neiman’s and Nordstrom’s, and if you think about the upcoming holiday season, how are orders being planned or is it – will it be more a DTC focus than a wholesale focus? Then I have a follow-up.
Brendan Hoffman: Yeah, thanks Dana. Yeah, I mean I think that what got us here is what's getting us through COVID and what ultimately will allow us to be even more successful on the other side. You know it starts with great products which we are very proud how we have reengineered that over the last three years to build on what the founders originally brought to with Vince.  And you know doing so, not only with our wholesale partners, specifically Neiman’s and Nordstrom’s and great specialty stores around the world, but also growing our DTC business leading first with digital. As I mentioned, our penetration is close to 30% – over 30%, which I think probably compares very well to other brands in our space, and so we'll just continue to lean heavily on that as we've seen over the last few months how well that channel has performed for us.  But as I mentioned in my remarks, you know I think in some contrarian way, we'll see an opportunity again in brick and mortar stores under the right scenario whether it's as an opportunity to mitigate some of the current headwinds that are happening with rent and store closures or longer term in the A-malls that we're in and A-locations as a way to further enhance our digital and DTC strategy. So, we feel excited about what this all means on the other side without really a hard pivot from what we were doing. In many ways, it just accelerates the strategies we had in place.  In terms of our wholesale distribution, I think as everyone's doing right now, we're all looking for different levers we can pull to provide some additional security and opportunity, and I think the initial reaction by all the wholesalers as we would expect was to cut back and cut back dramatically.  We’re starting to see as they see the holiday collection of stores start to open up. As they recognize, as they have said that Vince is one of the brands that is most important to them, I think we're seeing more potential upside than perhaps the initial worrisome scenarios that happened at first, but we're still keeping our options open to make sure that as I said, we have different levers we can pull to ensure we not only get through this, but get through this in a position of strength for the Vince brand and obviously now for Rebecca Taylor and Parker.
Dana Telsey : And when you think about other wholesale accounts, is it other department stores you want to go to or is it specialty stores or e-commerce platforms?
Brendan Hoffman: Yeah, I think it could be any or none of those. I think we're just in the initial stages of trying, like everybody else trying to see how this all plays out. You know where the winners and losers are through this and just making sure that we have enough optionality in our distribution to take advantage of whatever the opportunities are.  So, I think the comment I made in my remarks was really just to acknowledge that we do have different levers we can pull, whether it be DTC or wholesale, both to ensure that we have the safety to survive the pandemic, but then also to thrive in the post-pandemic world. So, I think without getting any more specific than that, it was really more the acknowledgment of the different options we have.
Dana Telsey: Got it. And then on the gross margin, how much of an inventory reserve did you take? And on the SG&A buckets, how is occupancy? Occupancy, can it be renegotiated? Do you go to percentage rents, because what I'm hearing is exactly what you said. There's certainly a lot of opportunity for you to negotiate transactions with other space, if you wanted to take other space and negotiate some of your existing lease terms? Is there an opportunity and what other big buckets of SG&A do you see in addition to obviously the commentary on the inventory reserves for gross margin?
Brendan Hoffman: I'll comment on the rents first and I’ll hand it over to Dave to unpack some of the other things you asked. I mean, I think you know we're very pleased with the most part about the constructive conversations we're having with the landlords. Obviously everybody is in a very difficult situation here, and for a period of time there wasn't all that much to discuss. But now as we've started to open up stores, we've entered into meaningful dialog on what the proper solutions are and they are still ongoing. I'd say we're kind of midway through.  Obviously, we have a lot of different leaseholders. We have a couple that holds a lot of our leases and are very pleased with the discussions there, and then we have a lot of one-offs that again, we're equally pleased with the direction of the conversation. But they are not done yet, you know and so we have our ways to go, but clearly our ability to see opportunity for our Vince and Rebecca Taylor on the strategy we went into COVID with, which was shorter-term, percentage rent, flexible leases, is serving us very well now, not only in those that we have under that structure but also in already having that as a competency for our brand and brands when we talk about running the Vince playbook, to be able to open up stores with very little CapEx, have them look fantastic to the consumer and do business on a – with a variable expense structure. So more to come on that, but certainly pleased over the last few weeks of direction, the rent discussions have gone with the landlords. And I'll turn it over to Dave to unpack some of the other stuff you asked, Dana.
Dana Telsey: Thank you.
David Stefko: Yeah. Dana, on the inventories with reserve, is that what you asked about?
Dana Telsey: Yes, exactly.
David Stefko: Yeah. So from an inventory perspective, you know it's a variable look as to where we project, where we can move the product, you know through the different channels. From a rate of how many points, we'll get back to you on that on what we finally booked, but we feel comfortable where we have the inventory reserve set out for the quarter. Did you have other questions on landlords and rent?
Dana Telsey: No, just anything else on the gross margin in terms of unpacking the gross margin, which were the biggest impacts to gross margin?
David Stefko: Yeah, the largest impacts in addition with the inventory was obviously the promotionality of the product. The consumer responded well on the website, both our website and that of our wholesale partners as to promote the promotionality that was driven.
Dana Telsey: Thank you.
Brendan Hoffman: I mean we – just to further on that, we obviously worked very hard to get ourselves to be a regular price brand. You know it took a few years, and so this, we're all doing right now what we need to do to move inventory and drive the top line and bring in cash, and so that's forced all of us in our space to get a little bit more promotional than we otherwise would have liked.  But I don't think that it has a long-term hangover for the Vince brand. I think you know as we get to the back half of the year and we start to be able to get the stores open and flow in new product, we’ll be able to pull back on the promotionality. I still think we're probably less than our direct competition, even through COVID.  And then you know we’ll look to reset fully in 2021 when hopefully we get back to a normal cadence, but that's absolutely a priority for us because we saw the benefits in 2019, getting those higher regular price sell-throughs.
Dana Telsey: Got it. And then the early read on the stores that are reopening, I think it was only like 10 stores. Where are you in terms of productivity levels as compared to last year?
Brendan Hoffman: Yeah. I mean, I would say we obviously had very modest expectations and we're beating them. I would say the number is in the down 50% range, but our stores are so small, such a small sample, it can be, it can skew a lot.  I will say Florida opened up very strong last week. So the weekend in South Florida absolutely over-exceeded what we were seeing in Texas. So hopefully it's being done safely. We know we're taking all the proper precautions, but maybe that bodes well as we open up other stores in California and such, where there is that pent-up demand that we will see it hit the ground quicker than we did in the earlier states.
Dana Telsey: And was there any difference in performance between your own online sites and those from your wholesale partners?
Brendan Hoffman: I mean, as I mentioned in my remarks, Nordstrom did a phenomenal job. Somehow we ended up virtually flat for the quarter in their registered sales and that was obviously with the stores being closed for six weeks. So their e-commerce business was fantastic, not only in their ability to create the demand, but their ability to unlock the store inventory to fulfill it, so theirs was fantastic and obviously we are pleased with the step-up in ours.  So I'd say it was – you know across the board some of it was a little bit inconsistent just due to timing and their ability. Some of the sites didn't have the same access to the fulfillment center to be able to fulfill the demand that others did, but where they were able to allow the demand to be fully realized, you know we saw tremendous strength. And I think the Vince product as I mentioned in my remarks, it lends itself well to this work-from-home, because as you know Anna Wintour said a couple of times, it's all about comfortable clothing now and I don't think there is a more comfortable line than Vince for the unbiased.
Dana Telsey: Thank you.
Brendan Hoffman: Thanks Dana.
Operator: Ladies and gentlemen, this concludes the Q&A. I'll now turn things back over to Brendan Hoffman for any closing remarks.
Brendan Hoffman: Great! Thank you again for joining us today. We look forward to updating you on our Q2 results in the fall. Stay safe.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation and you may now disconnect.